Operator: Ladies and gentlemen, thank you for standing by, and welcome to the PrairieSky Royalty Ltd announces their Annual and Fourth Quarter 2020 Financial Results. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to Andrew Phillips. Thank you. Please go ahead, sir.
Andrew Phillips: Thank you very much, Antalya, and good morning, everyone, and thank you for dialing into the PrairieSky Royalty year-end 2020 earnings call. On the call from PSK are Cam Proctor, COO; Pam Kazeil, CFO; and myself, Andrew Phillips. I will provide an operational update and then turn the call over to Pam to walk through the financials.  2020 was an active year for the PrairieSky team. We canceled 9.8 million shares for $91 million and actively leased undeveloped lands, including 25 new leases in Q4 with 22 distinct counterparties for just under $1 million in bonus consideration. We expect leasing activity to improve in 2021 as commodity prices have normalized. The compliance scheme was very active and brought in $5.8 million over 2020, but more importantly, brought back quality lands into our inventory. This provides leasing opportunities for the company over the next 5 years.  We have had numerous inquiries for the Duvernay shale lands that are expiring in early 2022, where there have been a series of impressive discoveries. This highlights the optionality of owning fee title lands. Numerous polymer and waterfloods have been initiated across PrairieSky lands during 2020. This will increase the recovery factors of older oil pools on our land and decreased the base decline of our assets, enhancing the sustainability of our business. The lower base declines that we are projecting in 2021 and 2022 will mean that less capital is required to offset the declines on our land, allowing for growth in the asset over the next 3 to 5 years. The ultra-efficient Clearwater drilling, which declined at a lower rate than the frac horizontals will also aid in our sustainability. The Viking oil play with high netback light oil, quick individual well payouts and short-cycle times will typically be one of the first places to see increased activity with higher oil pricing.  Numerous waterfloods in this zone have extended the life of existing pools on our royalty land. PrairieSky has over 20 years of economic drilling -- development drilling inventory on this play at current prices and activity levels.  The Board of Directors has approved a dividend increase of 8%. This represents a cash outlay of $58 million annually or $0.065 paid quarterly. This is $2.6 million less than it would have been last year as we have approximately 10 million fewer shares outstanding. This continued low payout ratio will allow the company to further compound the business with buybacks and accretive acquisitions and allow us to be a leading dividend growth company over the next 3, 5 and 10-year period.  Subsequent to year-end, PrairieSky entered into a definitive agreement to acquire 650 royalty barrels per day, 640,000 net acres of royalty lands, including 170,000 acres of fee mineral title and an extensive seismic database for cash consideration of $45 million. Management anticipates that we can grow this asset over the next 10 years through active leasing and management. This is what we do well.  In addition to this, we have completed numerous smaller acquisitions totaling in the range of $3 million in Q4 of 2020. We continue to evaluate opportunities that will enhance the per share returns of our business.  Cash administration expense for 2020 was $2.49 per barrel, the lowest since inception and 7% below 2019 levels in spite of having lower total production levels. This is a credit to our hard-working dedicated employees who are all shareholders of the corporation. PrairieSky entered 2020 with 45.8 million barrels of reserves. Our reserves include only drilled well. We produced 7.2 million barrels of these royalty reserves throughout the year, did minimal acquisitions and entered 2021 with over 48 million barrels. Industry did an excellent and efficient job of drilling and optimizing to achieve this result for us while we spend zero capital. This is a portion of our business that is often misunderstood. Over the long-term, we do not have maintenance capital.  PrairieSky received top scores from several globally recognized rating agencies, including CDP and Sustainalytics. We're demonstrating outstanding performance in environmental stewardship, social responsibility and governance, and once again, achieved net zero Scope 1 and 2 greenhouse gas emissions. Our ESG scores are excellent, and we also have a 98% operating margin business, unreplicable perpetual fee title lands and a long duration cash flow stream, low to no leverage and a large basket of call options on price, new discoveries, new technologies and enhanced recovery.  I will now turn the call over to Pam to walk through the financials.
Pam Kazeil: Thank you, Andrew. Good morning, everyone. Before I get started, I will be including certain forward-looking information in my remarks today. As such, I would refer all participants on this call to please reference the forward-looking information section of our MD&A for the year ended December 31, 2020, as well as our press release issued on February 8, 2021.  First, I delivered a strong fourth quarter, generating funds from operations of $41.1 million or $0.18 per share. Funds from operations were up 8% from the third quarter, generated primarily from royalty production revenue of $43.6 million on volumes of 19,281 BOE per day, which were 50% liquids. Oil royalty volumes increased 11% from Q3 to average 7,313 barrels a day in the quarter due to new drilling on PrairieSky lands and shut-in volumes being brought back on production. Oil royalty revenue totaled $28 million, up 13% from Q3, primarily due to the increase in volumes as Edmonton Par pricing remained relatively flat.  Natural gas volumes of 58.1 million a day were flat with Q3 as new wells on stream offset natural declines. Natural gas revenue of $10 million a day increased 15% from Q3 due to increased AECO and Station 2 benchmark natural gas pricing. NGL royalty production volumes totaled 2,285 barrels a day, down 8% from Q3 due to fewer compliance recoveries. NGL volumes generated $5.6 million in revenue, up 14% from Q3 due to stronger propane and WTI benchmark pricing offsetting lower production volumes.  During Q4 2020, PrairieSky’s production volumes included 938 BOE per day of prior period adjustments, which were 48% liquids and included 128 BOE a day from compliance activities and an additional 810 BOE a day of other prior period adjustments related to new wells on stream, shutting production coming back on and better well performance. The compliance group continues to recover missed and incorrect royalties from forensic accounting, collecting $800,000 in the quarter and $5.8 million for the year. This brings compliance recoveries to $63 million since IPO.  Annually PrairieSky’s funds from operations totaled $146.8 million or $0.64 per share, generated primarily from oil royalty revenue of $99.2 million, natural gas royalty revenue of $35.4 million and NGL royalty revenue of $21.6 million. Annual royalty volumes totaled 19,712 BOE per day. We saw increased activity in Western Canada during the quarter compared to Q3 and on PrairieSky lands, where we had 74 well spud, 65 oil and 9 natural gas. Oil well spud were primarily in the Viking and the Clearwater and natural gas spuds were in the Montney, Cardium and Spirit River. This brings total well spud in 2020 to 288 wells as compared to 661 wells in 2019.  Gross capital spending on PrairieSky lands totaled $476 million, $27 million net. Looking forward, PrairieSky’s 2021 annual pricing sensitivities are as follows: a $5 per barrel increase or decrease in U.S. dollar WTI would result in a $12 million increase or decrease in funds from operations. This is net of cash taxes and administrative expenses; a $0.25 per Mcf increase a decrease in AECO, results in a $4 million increase or decrease in funds from operations, net of taxes and G&A; and a $0.01 change in U.S.-Canadian FX rate results in a $1.5 million change in funds from operations, net of cash taxes and admin expenses.  PrairieSky generated $3.4 million in other revenue in Q4 comprised of $1.8 million in lease rentals, $700,000 in other income and $900,000 in bonus consideration on entering into 25 leasing arrangements with 22 different counterparties. For 2020, other revenue totaled $15.2 million, made up of $5.9 million in lease rentals, $3.5 million in other revenue and $5.8 million in bonus consideration on entering 85 leasing transactions with 51 different counterparties. PrairieSky anticipates other revenue in the range of $15 million to $20 million in 2021, including lease rentals, bonus consideration and other revenue. Compliance recoveries will be in addition to this total.  PrairieSky is a high margin, low-cost business model. PrairieSky generated $47 million of revenue in the quarter and had total cash expenses of $5.9 million, resulting in an 87% cash operating margin in the quarter. For the full year, the cash operating margin was 86%, with annual production and mineral taxes totaling $2.5 million or $0.35 per BOE, annual cash administrative expenses totaling $18 million or $2.49 per BOE, our lowest cash per BOE since IPO. Cash administrative expense is expected to be below $3 per BOE again in 2021.  Current tax expense for the quarter totaled $1 million, bringing annual cash taxes to $2.7 million for the year. At year-end, PrairieSky had approximately $1.2 billion in tax pools available to shelter future income. In 2021, these pools will provide tax shelter of approximately $120 million.  During Q4, PrairieSky declared dividends of $0.06 per share or $13.4 million, resulting in a 33% dividend payout ratio. Excess funds from operations were used to reduce the bank debt over 35% to $42.9 million at December 31. For the full year, PrairieSky declared dividends of $86.1 million with a resulting payout ratio of 59% and repurchased and canceled 9.8 million common shares. Since IPO, PrairieSky has generated $1.4 billion in funds from operations, of which we've returned 96% or over $1.1 billion to shareholders in the form of dividends and $224 million of share repurchases.  We will now turn it over to the moderator to proceed with the Q&A.
Operator: [Operator Instructions] Your first question is from the line of Jeremy McCrea with Raymond James.
Jeremy McCrea: Two questions. I just -- the first question is just how do you guys balance excess cash flow here over the next couple of years in terms of buying back shares, future dividend increases or just building up cash for acquisitions? Just curious how you look at the different parameters and how you determine what gets more weighting? Just on that. And then the second question is just more on the M&A market. Are you guys seeing more deals come through? Are the costs of deals coming down? Could we expect more later this year here?
Andrew Phillips: Yes. Thanks for the question, Jeremy. And obviously, we'll have some excess cash flow on top of paying down the moderate amount of leverage we use and on top of the dividend as well. So we'll have to really balance that over the year. And I think when we're thinking about M&A versus buying back stock, we always just compare the two and what provides a better long-term IRR for shareholders. And last year, clearly, it was the buyback. And then this year, we're hopeful we'll find continued opportunities.  But when you think about that excess cash over the longer term, I think the dividend should have the ability to grow over the long-term, Jeremy. And then I think in addition, in this, still challenging times and there are still some good opportunities out there, we should see some accretive M&A opportunities throughout the year. But again, without that, we still have the opportunity to buy back stock well below intrinsic value, and we'll highlight that at our Investor Day in May. And then the second question...?
Pam Kazeil: On the M&A market.
Andrew Phillips: Yes. And I think we're seeing some opportunities on the M&A market. We actually added some Clearwater lands that we haven't put in our presentation yet. We'll show those probably at Investor Day. So we're seeing some of that undeveloped land opportunity. We're moving on to other areas of the basin as you see with this acquisition. But again, we're always around, and we always have a good balance sheet when these opportunities come available. And we're ready to execute on them and ready to work hard on them. So we're hopeful that things come along. But if they don't, again, we've got that buyback in place.
Operator: Your next question is from the line of Jamie Kubik with CIBC.
Jamie Kubik : In your opening remarks, Andrew, you talked about some of the upcoming Duvernay expiries. Just wondering if you might be able to enlighten us a little bit on the percentage of land that could come available in 2022 on that front?
Andrew Phillips: Yes. You bet, Jamie. And we have in the range of 200,000 acres expiring that, there was a long-term 8-year lease on that we entered into at the IPO with the vendor of our original asset base. And it was the area that the vendor, Encana, believed was the premium part of the Duvernay at the time. It's worked out to be actually an exceptional area. Technically, there's been a number of new discoveries from the North part in Pigeon Lake, all the way down to Willesden Green in 39, 5, West 5. So there's been some great results as WTI has gone over 50. The paybacks are actually starting to look pretty reasonable. And it's -- again, it's 40-plus degree light oil with significant solution gas and a very thick pay package of shale. So we do think that there's opportunities to do some continued leasing on those lands. And more importantly, see some continued activity. There was 2 recent wells that were some of the top oils in all of Alberta, a month ago that were reported on our lands. And again, they're pretty -- very good results in over 1,000 barrel IPs for 1.5 mile wells.  So I think there's probably still some technological advancements that can take the play to advance the play further from -- in terms of costs. But again, the cost of those wells that were drilled all the way from the South to the North came down pretty significantly. So hopefully, that helps answer your question, and happy to show you map sometime.
Operator: [Operator Instructions] And there are no further questions.
Andrew Phillips: Great. Well, thanks very much for everyone who dialed into the Q4 year-end conference call for PrairieSky. And please call Pam or myself if you have any further questions.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.